Operator: Good afternoon, ladies and gentlemen. Welcome to the Good Times Restaurants Incorporated Fiscal 2024 Second Quarter Earnings Call. By now everyone should have access to the company’s earnings release, which is available in the Investor section of the company’s website. As a reminder, a part of today’s discussion will include forward-looking statements within the meaning of federal security laws. These forward-looking statements are not guarantees of future performance and therefore you should not put undue reliance on them. These statements involve known and unknown risks, which may cause the company’s actual results to differ materially from results expressed or implied by forward-looking statements. Such risks and uncertainties include, among other things, the market price of the company’s stock prevailing from time to time, the nature of other investment opportunities presented to the company, the disruption to our business from pandemics and other public health emergencies, the impact and duration of staffing constraints at our restaurants, the impact of supply chain constraints and inflation, the uncertain nature of current restaurant development plans and the ability to implement those plans and integrate new restaurants, delays in developing and opening new restaurants because of weather, local permitting or other reasons, increased competition, cost increases or shortages in raw food products, other general economic and operating conditions, risk associated with our share repurchase program, risk associated with the acquisition of additional restaurants, the adequacy of cash flow and the cost and availability of capital and credit facility borrowings to provide liquidity, changes in federal, state or local laws and regulation affected the operation of the restaurants, including minimum wage and tip credit regulations and other matters discussed under the Risk Factors section of Good Times Annual Report on Form 10-K for the fiscal year ending September 26, 2023, filed with the SEC and other non-GAAP filings with the SEC. During today’s call, the company will discuss non-GAAP measures, which they believe can be useful in evaluating our performance. The presentation of the additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP and reconciliation to comparable GAAP measures available in our earnings release. And now I would like to turn the call over to Ryan. Please go ahead, sir.
Ryan Zink: Thank you, Christa and thank you all for joining us on the call today. As mentioned, everyone should now have access to our second quarter earnings release and our 10-Q filing. Joining me today is our Senior Vice President of Finance and Accounting, Keri August. In just a few minutes, she will review the quarter’s results. I’m pleased with the sales results from both brands, with Good Times delivering its eighth consecutive quarter of same-store sales growth, posting 0.9% for the quarter and a 2-year stack for the quarter of 8.5% in spite of very tough weather conditions with recurring snow events on Fridays and Saturdays during the quarter. Meanwhile, Bad Daddy’s reported a same-store sales decline of 3.2%, a sequential improvement from the first quarter of the year. Restaurant level margins for the quarter compressed a bit of both brands and we’re currently tolerant of reduced levels of restaurant level operating profit to deliver the guest experience needed to continue to grow restaurant sales, which will ultimately benefit margins from the sales leverage generated. As of the date of this call, same-store sales during the third quarter are positive for both brands. And Bad Daddy’s performance versus the National Black Box casual dining index has improved to the point that we’re now often beating the benchmark compared to the mid-single-digit unfavorable GAAP that we saw as recently as 5 months ago. I believe this improvement at Bad Daddy’s is directly attributable to three specific factors: first, the expansion of operating hours to stay open an hour later every day of the week, with us now closing at 10:00 p.m. weekdays and 11:00 p.m. on the weekends. We know from data both brands that our guests are out later and we’re taking advantage of that trend. Second, our enhanced focus on the bar is increasing our beverage mix and we know that there is huge opportunity for us to grow sales both of beverage and food in our restaurants if we increase the level of service we provide at our bars, which had not kept up with competitors during late 2022 and 2023. Finally, our overall change in mindset around standards and execution has resulted in a greater amount of involuntary turnover at both restaurant staff and management levels as we no longer tolerate mediocrity in performance and are proactively making the right staffing decisions for great operating restaurants. At Bad Daddy’s, we’ve seen moderation in our Atlanta market. And though that market continues to be challenging, our discipline and talent management seems to finally be manifesting results as the market has generated positive same-store sales in a majority of the restaurants in the market for the last 2 months. We know that having the right GMs or general managers in place is really the secret sauce for successful restaurants in all markets and we have confidence in the leaders we now have in this market. To be clear, continued improvements in execution are still needed, but the foundation for market recovery has been set. Beyond that market, we continue to see labor as a perpetual challenge and though hiring has become easier than it had been, salary and wage pressures continue to be present and the quality of talent is still heavily weighted towards less experienced and less motivated candidates in the market. We have increased average pay for restaurant staff and management and are highly focused on market indicators of compensation to remain competitive. Our focus on seasonal features at Bad Daddy’s has been a hit with our guests and our current food features, including a pizza burger and a chicken parmesan sandwich have seen some of the largest customer adoption of any similar feature we’ve run. These products are in harmony with our culinary heritage, including house-made marinara, house-sliced and grilled pepperoni and fresh mozzarella cheese. During May, as we celebrate National Burger Month, we have developed a Birria Burger with a house-made consomme that is intensely flavorful and has a taste profile that’s tremendously popular right now. It’s also nicely timed to coincide with the Cinco De Mayo holiday. We will also feature a margarita promotion on that holiday and found that on National Margarita Day during – in February, the margarita promotionally ran generated significant adoption and sales lift for the day. We are committed to the right balance of price promotion as we’re clear on our premium position in the market are uncompromising on product quality and service levels, but recognizing that there is certainly promotional value in a limited level of discounts that are strategic and well-timed. Our Madison, Alabama restaurant continues to perform well and I’m excited about the continuity of the highly capable management team we have in that restaurant. It continues to be a top quartile store. And while we did experience a bit of the typical new store honeymoon, sales has not fallen off at the usual rate and it continues to be a top quartile, nearly top decile restaurant in terms of sales performance. We have several leases we’re working on in the pipeline, but remain focused on selecting only the right sites and opening great restaurants than being unduly focused on unit growth at the expense of additional risk of picking lower quality sites. At Good Times, our sales have been supported by strong sales trends at the 2 restaurants we purchased in late fiscal 2023. The Lafayette, Colorado restaurant received a light re-skin with fresh building paint, new signage throughout, new awnings and new menu boards. This location is one of several that does have a dining room and we chose not to include mural at this time on the exterior of the building due to its different footprint and configuration. In our earnings release today, we also announced that we’re in negotiations to purchase the currently franchised Good Times restaurant in the Southeast Denver suburb of Parker, Colorado. This restaurant is the same generation as the Lafayette location and also features a dining room. We expect to make similar improvements to this location and are extremely optimistic about the population growth and demographics of this trade area. We expect to close on the purchase of this restaurant during the third fiscal quarter. GT Rewards, our loyalty program continues to be a focus for us. However, we have seen the challenges involved in customer adoption in a primarily drive-through concept. We are seeing growth in membership, but not at the pace we really would like. Nevertheless, we have several strategies we have implemented or expect to implement to improve member acquisition as we’re still convinced that digital engagement with our customers at Good Times is critical to continuing our sales momentum. In the same vein, reducing friction at all points in the transaction is critical so that we can improve speed, accuracy and ultimately, customer satisfaction. We are in test currently at 2 restaurants with our selected next-generation point-of-sale system, which is Toast, the leading, most feature-rich cloud-based point-of-sale system. This test has been highly successful. And at the conclusion of the pilot period, we expect to roll out the Toast POS system to the balance of company-owned Good Times restaurants prior to the end of the fiscal year and will encourage our franchisees to follow suit. We are conducting a similar evaluation of Bad Daddy’s and it is likely that a test of the Toast system at Bad Daddy’s will be forthcoming within the next several quarters. We are near the end of the fourth remodel of a typical double drive-through Good Times, including a mural by a local artist, new awnings and new signage. This restaurant in Lakewood, Colorado is one of 3 company-owned Good Times that has never had a prior remodel and has an older kitchen layout that is less efficient. The construction associated with this remodel will remove approximately 5 store weeks from the third fiscal quarter and we expect this restaurant to reopen next week. We repurchased just over 250,000 shares during the quarter under our share repurchase program and 1 purchase from a non-executive employee. We continue to believe that the share repurchase program, particularly at current trading prices for our stock generates a good return for shareholders. We are currently conducting repurchases at a reduced pace, with an interest in reducing borrowings against our credit facility and anticipating other capital investments. At the current repurchase rate, we have about 6 months left on the existing authorization. And assuming market factors remain similar, we would expect the authorization to be expanded sometime prior to the completion of the current authorization. I will now turn the call over to Keri to review our financial performance for the quarter.
Keri August: Thank you, Ryan. We’ll now review this quarter’s results. Total revenues increased approximately 1.9% for the quarter to $35.4 million. Total restaurant sales for Bad Daddy’s restaurants increased $0.1 million to $26.4 million for the quarter. The sales increase was a result of the fourth quarter 2023 Madison, Alabama restaurant opening, the prior year remodeled temporary closure of the Greenville, South Carolina restaurant as well as an approximate 4.7% menu price increase, partially offset by reduced customer traffic in certain restaurants. Same-store sales declined 3.2% for the quarter with 39 Bad Daddy’s in the comp base at quarter end. Cost of sales at Bad Daddy’s were 30.4% for the quarter, a 20 basis point decrease from last year’s quarter. The decrease is primarily attributable to the impact of a 4.7% increase in menu pricing, partially offset by slightly higher purchase prices in our commodity basket. Though early in the fiscal year, we experienced lower purchase prices for many commodities, ground beef costs have recently begun to increase and we expect them to continue to increase during the second half of fiscal 2024, along with other proteins and food-based commodities. Bad Daddy’s labor costs were flat compared to the prior year quarter at 34.7% for the quarter. Occupancy costs at Bad Daddy’s increased 20 basis points to 6.6%. Bad Daddy’s other operating cost increased by 20 basis points compared to the prior year quarter to 14.7% for the quarter, primarily the result of increased repair and maintenance, credit card fees and other employee-related expenses, partially offset by reduced restaurant supply costs. Overall, restaurant-level operating profit, a non-GAAP measure for Bad Daddy’s was approximately $3.6 million for the quarter or 13.6% of sales compared to $3.6 million or 13.8% last year. Total restaurant sales for company-owned Good Times restaurants increased approximately $0.6 million to $8.8 million for the quarter compared to the prior year second quarter. The average menu price increase for the quarter was approximately 3.9% over the same prior year quarter. Same-store sales increased 0.9% for the quarter with 25 Good Times restaurants in the comp base at quarter end. Food and packaging costs for Good Times were 29.1% for the quarter, a decrease of 250 basis points compared to last year’s quarter. The decrease is primarily attributable to the impact of a 3.9% increase in menu pricing and to a lesser extent, lower purchase prices on food and paper goods. As is the case with Bad Daddy’s, we expect to resumed pressure on beef and other food prices in the last half of the fiscal year. Total labor costs for Good Times increased to 35.1%, a 50 basis point increase from 34.6% we ran during last year’s quarter due to labor associated with two additional company-owned restaurants and higher average wage rates resulting from market forces and the CPI index minimum wage in Denver in the state of Colorado. Occupancy costs at Good Times were 9.9%, an increase of 100 basis points from the prior year quarter. The increase is primarily due to the late fiscal 2023 acquisition of two Good Times restaurants previously owned by franchisees as well as real property tax increases resulting from higher property values. Good Times’ other operating costs were 13.7% for the quarter, an increase of 140 basis points, primarily due to the previously mentioned late fiscal 2023 acquisition of two Good Times restaurants previously owned by franchisees as well as increased repair and maintenance, credit card fees and customer delivery fees. Good Times restaurant-level operating profit increased by $0.1 million for the quarter to $1.1 million. As a percent of sales, restaurant-level operating profit decreased by 30 basis points versus last year to 12.2%. Combined general and administrative expenses were $2.6 million during the quarter or 7.2% of total revenues, a 60 basis point increase from last year. Our net income to common shareholders for the quarter was $0.6 million or income of $0.06 per share versus net income of $10.6 million, $0.90 per share in the second quarter last year. There was approximately $0.1 million of income tax benefit recorded during the current quarter versus $10 million in the prior year quarter. Adjusted EBITDA for the quarter was $1.3 million compared to $1.5 million for the second quarter of 2023. We finished the quarter with $4 million in cash and $1.3 million of long-term debt. And now I will turn the call back to Ryan.
Ryan Zink: Thank you, Keri. Christa, we can open the call for questions at this time.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of David Bastian from Kingdom Capital Advisors. Please go ahead.
David Bastian: Hey, Ryan. Thanks for your time here. I got in a little late, so sorry if I missed any of the – any key comments from the first part of the call. So feel free to send me back to the transcript here. First question...
Ryan Zink: I won’t do that, David.
David Bastian: Okay. First question on the lawsuit. I saw you guys on appeal, you won and you got awarded court costs. I just want to confirm, one, we’re past any other further appeal windows. And two, what rough estimate of that court cost award would be given with the judge rule?
Ryan Zink: Yes. So we believe that we are kind of past any liability that we might have with respect to the plaintiffs in that case. And so from that standpoint, we do think the matter is, I’d say, relatively closed. With respect to the legal fees that might be subject – for us to be awarded, I’d make a couple of comments there. I would refer you to the 10-Q filing, where we talk about that the total of those costs does exceed $3 million. However, the collectibility of that and the amount of those that may be awarded ultimately may be much less or even zero. And so I would hesitate to really forecast anything that would be recoverable there at this point.
David Bastian: Understood. Thank you. Secondly, could you give an update on quarter-to-date same-store sales pacing for both brands?
Ryan Zink: Yes. So in the earlier comments, I did mention that they – both brands are positive same-store sales. And I think – I would say low-single-digits at Bad Daddy’s, mid-single-digits at Good Times. And note that when I say that, that’s been adjusted – that we’ve adjusted those for the closure of the store that is under remodel, removing it from the comp base for that period of time.
David Bastian: Understandable. Thanks. And then...
Operator: I’m sorry, David, could you press star one again, please?
Ryan Zink: David, are you there by chance?
Operator: Yes, he’s there.
David Bastian: Okay. Great. Thanks. And then lastly, on the share repurchase program, is there any thoughts regarding increasing that authorization further, or are you guys looking at potential expansion of your Bad Daddy’s footprint as maybe being a better use of capital allocation going forward?
Ryan Zink: No, I think in my prepared remarks, I had said that we would – we’ve got about 6 months of purchases left at the current velocity and that I would expect prior to the completion of that that we would expand that, assuming pricing and market conditions remain the same.
David Bastian: Got it. Thanks, Ryan. And then any thoughts on pacing of new Bad Daddy’s locations right now?
Ryan Zink: So we have several leases that we are working on. We have a couple that are fairly close to being able to execute a lease. Those still need to be reviewed by our Board and real estate committee. But we’ve got a couple that are pretty close if they’re ultimately approved.
David Bastian: Great. Well, it sound like I went 2 for 4 on stuff that I missed. So, sorry for that. But thank you for taking my questions.
Ryan Zink: No worries, David. Always a pleasure to speak with you.
Operator: Your next question comes from the line of David Swartz with Morningstar. Please go ahead.
David Swartz: Hi, thanks for taking my question. You talked about the remodels of some of the stores. Can you tell us a little bit more about the performance of stores that have been remodeled in the past? And what kind of ROICs you expect from the remodels that you’re doing now?
Ryan Zink: Yes. So most – the three remodels that we’ve done previously have been, I’d say, more kind of cosmetic remodels, new awnings, paint, new signage and the signage of which could be expensive. We typically are seeing double-digit sales increases as a result of those remodels, which does translate into a better than 10%, maybe better – maybe higher than that ROI. The current remodel is a bit more extensive and I would say it includes a lot of deferred maintenance. And so I think the ROI on that – some of that is maintaining a level of sales and is less about – it also would include growing sales, but I think there’s a preservation of the existing business that’s expected in our current remodel.
David Swartz: Okay. Thanks. Also you talked about changes in both manager and staff at the stores, but also the challenges in hiring. Maybe you can tell us what you’ve seen so far in stores where you have made management changes and how it’s going in terms of being able to hire new replacements for people that have left.
Ryan Zink: Yes, I think my commentary on the market is really that hiring the quality of talent that we need to run our business requires higher levels of pay than it has required in the past. And that’s kind of the big takeaway there. I think among our existing management team, we have a great – we really have a great team of general managers and assistant restaurant managers. There have been cases where in certain markets or in certain stores, we’ve been challenged with management staffing. And I think we have made some tough decisions there and those tough decisions, at least at this point, as I’ve mentioned earlier, look to be paying off.
David Swartz: Alright. Thanks a lot. And good luck.
Ryan Zink: Thank you.
Operator: That concludes our question-and-answer session. Ryan, I’ll turn it back to you for closing comments.
Ryan Zink: Thanks again, Christa. I am very optimistic about the future of both of our brands. We have exciting initiatives that will translate into both guest and employee engagement at both concepts and it certainly feels like we have strong operating momentum. This is directly the result of the efforts of our team members, our managers and our leaders throughout our company whose focus on hospitality, customer service and pride in their work into their concepts is manifest every shift of every day. I’d like to thank all of you for joining our call today.
Operator: This concludes today’s conference call. Thank you for your participation and you may now disconnect.